Operator: Greetings, and welcome to today’s AMMO Inc. Fiscal Fourth Quarter 2022 Earnings Call. At this time all, participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instruction] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Reed Anderson of ICR. Thank you, Reed. You may begin.
Reed Anderson: Thank you. Good afternoon and welcome to AMMO Inc.'s conference call to discuss results for the fourth quarter and full year fiscal 2022. On the call today from AMMO Inc. with prepared remarks are Fred Wagenhals, Chairman and Chief Executive Officer; Rob Goodmanson, President; and Rob Wiley, Chief Financial Officer. By now everyone should have access to the earnings release, which went out this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of AMMO Inc.'s website at www.ammoinc.com. This call is being webcast and a replay will be available on the company's website as well. Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties, including those identified in the risk factors section of AMMO Inc.'s most recently filed forms 10-K and 10-Q. Please note that during today's call, we will discuss non-GAAP financial measures, including results on an adjusted basis. Management believes these financial measures can facilitate a more complete analysis and greater transparency in the AMMO Inc.'s ongoing results of operations, particularly when comparing underlying operating results from period to period. We’ve included reconciliation of these non-GAAP measures with today's release. This call also contains time sensitive information that is accurate only as of the date of this live broadcast June 29, 2022. AMMO Inc. assumes no obligation to update any forward-looking projections that may be made in today's release or call. Now I will turn the call over to Fred Wagenhals, Chairman and Chief Executive Officer of AMMO Inc.
Fred Wagenhals: Thank you, Reed, and good afternoon, to everyone on the call. Fiscal 2022 was a banner year for AMMO, far exceeding even our highest expectations. Revenue, which reached 240.3 million were up an incredible 285% from fiscal 2021. And we generated nearly 76 million in adjusted EBITDA and $0.53 in adjusted EPS for the year. We did all of this with COVID ground working space, the move from patient commander to Manitowoc and the supply chain issues. The acquisitions and integrations of GunBroker.com marketplace platform has also proven to be transformational for the company's business model. And we are only beginning to introduce several initiatives to further leverage profitability on the 1.8 billion that's billion with B in transactional volume on the platform in the past year. Over the past five years we have grown AMMO from 2 million in revenue in 2018 to what we expect to be more than 300 million in revenues in the fiscal 2023. In light of this spectacular growth, I would like to focus on why we remain confident that AMMO remains well positioned to double its market share over the past two to three years. First, we are at capacity in our current facility, delivering 400 million rounds of loaded ammunition this past year, that has caused us to build our new 160,000 square foot world class facilities, where we expect to increase our capacity to 1 billion rounds once fully operational. This gives us significant opportunity to increase revenue, drive down manufacturing costs and improve margins. Next, our marketplace platform GunBroker.com was fully integrated in 2022, and we are now rolling out a number of initiatives to capture a significantly greater percentage of the transactional volume from that platform, including credit card processing, credit products, gift card and loyalty programs for both the buyer and the seller.  Finally, AMMO continues to make great progress in our military programs division, primarily with the support of our U.S. special forces, we have entered into the last stage of our procurement path on our BMMPR program and are continuing to move through the development of our signature on target program. We started AMMO in 2017 with the goal of integrating technology into the ammunition industry. And by all measures, we have succeeded in doing so. Judging by our financial performance over the past fiscal year, however, we continue to believe and to operate as if we are still early in our growth curve. There remains multiple opportunities to substantially grow revenue, enhance margins and drive shareholder value. And we intend to continue to capitalize on those opportunities and look forward to updating our progress to shareholders at the appropriate moment. With that, I'd like to turn the call over to our President, Rob Goodmanson to provide more detail on the operational performances for this quarter.
Rob Goodmanson: Thanks, Fred. And thank you all for being on our annual earnings call. This has indeed been an exciting year full of enormous business opportunities and interesting challenges. We would never have been able to execute upon these opportunities so effectively, but for our stellar team, Fred and our entire management team put together. Our incredible successes fall squarely on their shoulders.  I would now like to announce our forecast for fiscal 2023. $300 million to $310 million in revenues, $82 million to $85 million in EBITDA and $108 million to $111 million in adjusted EBITDA for fiscal 2023. Being successful in predicting the future is best done by looking back at the past successes and the historic track record, growing from $2 million to $240 million in sales in 5 years speaks for itself. I’d like to take few moments now to expand upon Fred’s comments and talk about certain company initiatives at AMMO and at GunBroker.com. Obviously, we're anxious to get into our new Manitowoc Wisconsin manufacturing facility, slated to open in just over two weeks. This facility is just around the corner from our current operating building and is approximately 300% larger than our main production. In the new plants, we have plan to double our output capacity of loaded ammunition over time through the deployment of new equipment, which is currently owned, expand our manufacturing automation and better leverage our production team in their newly consolidated buildings.  We are also adding cart capabilities for GunBroker.com. Currently our 7.3 million registered users could only purchase one item at a time. Soon they will have the ability to purchase multiple accessories at one time, including ammunition. GunBroker.com the largest outdoor website of its kind, which has been around for 22 years, we're making some additional enhancements in conjunction with our auction site. We are adding new sellers to the platform that will mirror Amazon, which will drive growth in users and transaction volume. Whether they would be manufacturers, dealers, distributors, or we function as their online storefront, which will only add to their distribution model.  This is a solid concept and is one way to monetize one of GunBroker.com’s greatest assets, that being data. No other company in this space has the vast information in a timely manner that's shows what is selling, where it's selling and at what price levels, making trend prediction more reliable and accountable, whether you be a store, manufacturer or distributor, this will be significant for both the sellers and the buyers. Obviously, our goal with these initiatives is to enhance user experience. Whether you're a buyer or seller, we're currently adding new products and product lines to the GunBroker website with north of 7.3 million registered users and adding an average of approximately 55,000 new users on a monthly basis this past year, we strongly believe we will be the preferred destination in the space, because of these initiatives with our two businesses. We believe we can double our revenues in both companies over the next 12 to 24 months.  Again, to reiterate our forecast 300 million to 310 million in revenues 82 million to 85 million in EBITDA, and 108 million to 111 million in adjusted EBITDA for fiscal 2023. And that is a growth story that should be paid attention to.  In closing, I'd like to add that because of our success, it has allowed us to look at many unique opportunities and take advantage of that such as our support of the Ukraine war effortby donating 1 million rounds of ammunition. We're also pleased that some of our competitors finally followed our lead.  With that, let me turn this over to Rob Wiley, our CFO. Rob? 
Rob Wiley: Thank you, Rob. Welcome everyone. Let me now review our financial results in more detail. Total net revenues for our fiscal 2020 year increased 285% or 178.1 million over the prior year. This increase was the result of our increased production capacity, coupled with strong demand from our customers resulting in 107.1 million of additional sales of bulk pistol and rifle ammunition, an increase of 4.7 million in sales and proprietary ammunition, an increase of 1.3 million of sales from our casing operations, and 64.6 million in revenue generated from our marketplace Gunbroker.com. Looking forward, we expect the sales growth rate of proprietary ammunition to greatly outpaced the sales of our standard ammunition. Our gross profit percentage increased to 36.9% from 18.2% during the year compared to the year period prior. This was a result of the inclusion of our marketplace Gunbroker.com, which by nature has significantly higher margins that are manufactured products. We believe as we continue to grow sales, their new markets and expanded distribution that our gross margins will also increase as evidenced by the improvement over this time last year. Our goal then in the next 12 to 24 months is to continue to improve our gross margins. This will be accomplished through the following. Increased product sales specifically of our proprietary lines of ammunition like the street visual ammunition stealth, and now the ammunition we have developed in support of our military and government programs. Introduction of new lines of ammunition that historically carry higher margins in the consumer and government sectors. Reduce component costs through streamlined operation of our Ammunition segment and expansion of strategic relationships with component providers. Expanded use of automation equipment that reduces the total labor required to assemble finished products and better leverage of our fixed costs through expanded production to support the sales objectives. Moving on to operating expenses, our operating expenses increased by approximately 34.8 million over the prior year, but more importantly, decreased as a percentage of sales from 26.8% in fiscal 2021 to 21.5%, a 25% decrease in the reporting period. The dollar increase was primarily related to approximately 20.6 million of additional operating expenses related to Gunbroker.com, including 12.1 million out of 13.7 million non-cash depreciation and amortization expenses for the year. Total non-cash operating expenses were approximately 20.1 million for the year compared to 3.2 million in the prior year. We expect to see operating expenses continued to decrease as a percentage of sales in the 2023 fiscal year. As we leverage our workforce and expand our sales opportunities. Operating income was 42.5 million for the year compared to an operating loss of 5.4 million in the year earlier. As a percent of net revenues operating income was 41.9%, compared to a negative 8.6% a year earlier, a 586% increase. As a result of increases in revenues from increased production, as well as our acquisition of Gunbroker.com, we had a net income of approximately 33.2 million for our fiscal 2022 or $0.27 per diluted share, compared with a net loss of approximately 7.8 million for $0.14 per diluted share in fiscal 2021. Adjusted net income per diluted share was $0.53, versus then adjusted net income per share of $0.07 in the prior year period. Adjusted EBITDA was 75.5 million compared to adjusted EBITDA of 8.1 million in the prior year period. The significant improvement in adjusted EBITDA was due to increase sales and improve gross margins. Reflecting growth in our core ammunition segment both the addition of our higher margin marketplace segment. Please note that adjusted EBITDA is a non-GAAP measure and you should refer to the reconciliation of our GAAP to non-GAAP results in today's press release for additional details.  To Reiterate our performance this past year. Our revenues went from $61 million to $240 million. We reported net income of $33.2 million from a net loss of $7.8 million in the prior year period. Our balance sheet remained strong with $23 million of cash and equivalents and essentially no outstanding debt. We are well-positioned to make a swift transition into our new facility in just a few weeks, and we are guiding our 2023 fiscal year to revenues of $300 million to $310 million, EBITDA of $82 million to $85 million and adjusted EBITDA of $108 million to $111 million. This concludes our prepared remarks. We are now ready to take questions, so I'll pass it back to our moderator. Thank you.
Operator: [Operator Instructions]. Our first question is from Matt Koranda with ROTH Capital.
Matt Koranda : Good afternoon. Thanks for taking the questions. Just wanted start off with the fiscal '23 guide on revenue. Maybe if you could just comment on sort of the expectations of the split between GunBroker.com versus the core ammunition business and sort of the growth rates between the two for the year. 
Fred Wagenhals: Hi, Matt. Thanks for the question. So I would expect a majority of the growth rate to come from our loaded ammunition operations. We obviously do expect growth in our GunBroker.com segment as well, but majority of the increase will come from the loaded ammunition and our increased capacity coming from our new facility.
Matt Koranda : And then just on the AMMO business segment, could you maybe just talk about the visibility you have into the year in the past? I think you guys have shared some backlog figures, so maybe if you could share any backlog figures, it could be a confidence on sort of the numbers that you'll do this year. I know a lot of folks in the industry have sort of talked about demand slowing a bit, but maybe, it seems like you guys do have an opportunity to take some share and there is some channel fill opportunities. So, maybe you could just speak to sort of where you see the majority of the growth coming from in the AMMO business this year. 
Rob Goodmanson: Matt, this is Rob Goodmanson. We see the growth as Rob Wiley said, coming out of the ammunition side. We would be looking at a number of around 230 from that side. And I think you'd probably see, well, I know our backlog is a 100% sold, that doesn't -- that of our current capacity. 
Matt Koranda : Okay. So just to clarify, a 100% sold within the current capacity. Could you maybe just quantify that a bit more for me? So current capacity I guess is influx a little bit because you have the Manitowoc facility ramping. And so I assume, you know, we're that number may change a bit. But does that mean $230 million in the backlog or does that mean sort of, we have a little bit less than that, just given the capacity to delivers a little bit lower than that at the moment? 
Fred Wagenhals: No, that would be the backlog. But you pretty much answered your own question. There is a little bit of a sliding scale on the move. We anticipate and hope for everything smooth and all the machines work and the capacity increases that on a rapid basis. In that case, that backlog number would be a little bit too light. 
Matt Koranda : Okay. And then any revenue in the Ammo segment that is factored in from the military opportunities that you guys have highlighted, obviously a lot of stuff sort of deeper in the funnel in that space, especially with SOT, but I'm curious, have you guys factored any of that into the guide, the 230 million that you mentioned there Rob, or is that sort of icing on the cake, if you will for the year?
Rob Goodmanson: That would be icing on the cake. We're not factoring that in -- on the ballistic match you'd see very late in the inning, on the signature on target, we're moving rapidly through the system. 
Matt Koranda : Okay. Got it. And then maybe I'm curious since this is a bit of a unique situation where you guys are reporting Q4 toward the end of your first quarter. I'm curious if you could just speak to maybe some of the trends over the last quarter and maybe separately between GunBroker and the Ammo segment. Just so we can sort of directionally model the year, and the ramp up that you've got going in the Ammo segment. I'd assume GunBroker's been relatively steady, but maybe just correct me if I'm wrong there, and maybe any trends that you've seen in the recent month with some of the headlines in the news for GunBroker. And then on the Ammo side of the business, just curious about sort of how the ramp transpires, how it has transpired in the first quarter? And then how you expect it to kind of unfold for the rest of the year? 
Rob Wiley: Thanks for the question, Matt. This is Rob Wiley. I think you kind of spoke to the question itself. We see the business continuing strong and we expect another strong quarter in this first quarter that we're currently in now. We're not going to see a big ramp in revenues until we're into the new facility, but really expect to see the benefits of that. And the third and fourth quarter of this fiscal year, once we've completed the move and have everything up and running the equipment that we've already purchased, just installing and hooking up and putting into production. So but still expect to maintain current levels of production until we're up until that point. 
Matt Koranda : Okay. So just to put a finer point on that, I guess in the fourth quarter, the looks like the Ammo business you did about 52 million in revenue. So maybe pulling that run rate forward in the first half of fiscal ‘23 would be the safer bet. And then assuming there's a bit more of a kicker in the third and fourth quarter in terms of revenue from the Ammo side of the business. 
Rob Wiley : Yes. I think that's the right way to think about it. 
Matt Koranda : Okay. Got it. And then just, I wanted to make sure I understood what you said in terms of the ramp up and capacity of --. So I think in the release, you guys talked about a billion in incremental rounds. And I guess my assumption was that the facility was probably going to add more like 0.5 billion rounds in the near term. So maybe just speak to sort of how much capacity are we adding this fiscal year for ‘23 and then over time, if we get to the billion how soon do we get there? Maybe just so I can kind of understand how so folks can kind of help so you can help folks model this out for the next year or two?
Rob Wiley : Yes. I think the way to think of it is once you're fully installed and in the new facility day one that our capacity would essentially double. And our goal is to get at a run rate of a billion rounds of year by the end of this fiscal year. So if that helps, we'll -- add a little bit more color to it. 
Matt Koranda : Okay. So a total of a billion not incremental billion. Is that fair to say? 
Rob Wiley : Yes, that's correct. 
Matt Koranda : And then just last one for me, and I'll turn it over sorry for all the long windows here, but there's lots to get through. The margin ramp, as we look at production in the Manitowoc facility and starting in July. Maybe just help folks understand sort of, what, how should we level set on ammunition gross margins? How has that factored in to the full year adjusted EBITDA guide that you gave? Is it more of a tale of two halves where the first half is quite a bit lower than back half kind of ramps up to backfill? Or should we miss the sort of level setting on the margins for the full year?
Fred Wagenhals: No, I think you had an absolutely right. So we expect to maintain for first quarter and most of the second quarter, but as soon as the additional capacity comes online, we're expected benefit the benefit of that in the third and fourth quarters of this fiscal year.
Matt Koranda : Okay. Got it.
Fred Wagenhals: The new [indiscernible].
Matt Koranda : Put in place?
Fred Wagenhals: Yes, absolutely. But I mean, all the vertical integration activities we have coming online. In addition to the production capacity increases. So we're very excited about moving into new facility and to see what we can do coming out of that.
Operator: Our next question is from Mark Smith with Lake Street Capital Markets.
Mark Smith: I wanted to dig in real quick on just kind of cadence of sales, as we think about this next fiscal year. It's safe to assume that September quarter would likely be the lowest just as you transition equipment from the existing facility into the new facility that will see some slowdown in business in September quarter, and then June quarter being the next highest and then more of that ramp, and sales in the second half of the year and thinking specifically about loaded ammunition?
Fred Wagenhals: I feel confident that our second quarter will be as good as our first quarter that we just said.
Mark Smith: And then I want to dig into just gross profit margin a little bit. Certainly a bit lower here than we've seen in the other quarters of this year. Can you talk about cost pressures that you're seeing, especially as we think about components, primers, projectiles, even raw material costs, talking about anywhere where you're seeing pressure there?
Fred Wagenhals: No, I think, the cost profile profiles relatively similar to what it has been in the past. I think on our last call, we had mentioned that we're really gearing up for the new manufacturing facility, so that we can make a sub transition in the next couple of weeks here when the doors finally opened up. And so that's a definitely adding to the margin profile that we're currently seeing today. But coming to the end of their second quarter, we really expect to see the benefit of the new capacity coming online and the production capabilities and vertical integration activities to be able to really improve our margin to a profile that we expect to see given all the everything that we put into it up until this point, so something that we're very excited for.
Mark Smith: Anything in particular to call out in Q4 that put more pressure on margin?
Fred Wagenhals: I would say labor more than anything.
Mark Smith: Okay.
Fred Wagenhals: The increased labor substantially for our move into our new building to train people. And it just took a lot more work than we thought getting people trained, hiring quality people. 
Mark Smith: Okay, perfect. And then, this might be a broad base, but just walk me through kind of what gives you confidence in your guidance that you gave for the full year and as we think about top-line given, it sounds like backlog is still strong, but what you are seeing in demand that kind of gives you confidence in that top-line number? And this is GunBroker.com as well as AMMO side. And then the bottom-line, just given inflationary pressures that we are seeing today. What gives you the confidence in being able to hit the guidance numbers that you gave for this next year?
Fred Wagenhals: Sure. Let me take a crack at that. The inflation pressure is really always passed on anyway, we have gone through that for the last number of years, so that's not -- and that would just continue as in every company in our space. Why do we think it will continue? I think two of the biggest reasons, A, is we still are in the midst of a lot of civil unrest. We have the sanctions of Russia, which is 20% to 25% of the ammunition sold in the U.S. And now we have the U.S. Government basically telling Lake City, they cannot sell into the commercial market. These are all going to be beneficial to this space. And we really are the only ones who are adding any kind of capacity that, where we can more than double our production. So, do we feel good and confident that the winds are still at our back? The short answer is, yes.
Operator: Thank you. Our next question is from Edward Reilly of EF Hutton. 
Edward Reilly : Hey, guys. Thanks for taking my question. We are seeing a bit of a increased level ammunition in stock at retail stores. I was wondering from an industry level, if you could comment on pricing overall and maybe your ability to pivot towards ammunition that still has unmet demand, if there are any types of ammunition. 
Fred Wagenhals: So I think we are still seeing all time highs in levels of sales prices, at least from manufacturers side. We are always, our sales team and production team are conscious of the markets and think they have a close pulse on what's going on and what the next big skew maybe. So, it's something that we are attuned to and are looking that daily to make, to see if we need to make adjustments to what we're currently manufacturing. And now we can deliver the product that our consumers want.
Edward Reilly : Okay. Got it. And on the GunBroker.com side, could you just unpack a little bit for us the initiatives you are undertaking to maybe increase the sellers and buyers on the platform?
Fred Wagenhals: There is a number of different initiatives that we are doing. Fred had mentioned the financial suite of products, whether with the credit cards, loyalty programs. These types of things will significantly ease for the sellers and the buyers increasing transactions. On top of that, adding some different services, the cart service where like I had mentioned in my talk, they can purchase one item at a time, when the cart is completed, which should be soon, they can do multiple purchases. So hypothetically buy a Gun. Do you need the cleaner? Do you need the ears? Do you need the eyes? And there are significant margins in the accessories on top of that'll be the highest margin business. So making the end users, both sellers and buyers more -- give it more ease and more credibility. This is what's going to drive the existing base and new people coming to the market.  Now, as these things get rolled out, it's not a light switch, unfortunately there's a lot of technology that goes behind this, but we will not. And we've been spending a fair amount of money on these enhancements to get everything done right. And when they are done right. And when it is perfect, these will be rolled out. So it will be seamless for the end users. 
Edward Reilly : Got it. Another question on that, just how are you making potential sellers that aren't on the website aware of these types of initiatives? 
Rob Goodmanson: Well, some of the initiatives aren't out there yet because they're not ready to roll out. They are, let's say with the storefronts and the manufacturers, I mean, we are working with them, and we are signing up new sellers for those types of things, what they're interested in and what they really need is one of the things that they've never could get their hands on before, which was the data manufacturer needs to know what the hot products are, where are they being sold? Where are the prices good? Where are they getting weak? Same for the dealers, same for the distributors, and from a buyer standpoint they're usually looking at -- what are the prices, where are these? And these things are how we are going to make monetizing our take rates, and our take rate, which if you noticed in our document one from about 4.6 to 5.1 these types of enhancements will bring that take rate up to let's say conservatively about an 8.5%. 
Edward Reilly : Got it. Thanks for that. Last question for me given the facilities nearly online, how should we maybe be thinking about CapEx going forward? 
Rob Wiley : Thanks for the question. As far as capital expenditures in relation to the new facility and the production that's coming online with that. And most of the capital expenditures virtually all to this point has been expended today. So looking forward unless we go through and add significantly more capacity from this point all of the costs have been encouraged to this from this point. So we're really just are looking forward to the benefit that we -- that comes from that, and as I mentioned before, very excited to move into the new facility. 
Operator: Thank you. Our next question is from Rob Jost with Invesco. 
Rob Jost : I'm a little bit new to your story, but I wanted to ask a cash flow. Do you have just a general sense for next year with this outlook that you would be able to generate a meaningful set of cash flow going forward, or maybe speak about uses of that cash flow. 
Rob Wiley : Thank you for the question. This is Rob Wiley. We do expect our cash flow, at least income and cash flow to increase quite significantly, I think you saw on the 10-K that we just reported, we have positive cash flow from operations. A lot of the cash outflows this year were in relation to our GunBroker, the addition of gunbroker.com. And we also had a significant cash outflow just due to our growth. But as we continue to grow, we will be sick of spending cash. But we do expect to see that cash flow increase moving forward. Also, we're looking at working towards and put in a credit facility acid based credit facility, so that to free up some of our cash that is tied up in our working capital to aid us in our growth.
Rob Jost : Is there, at the moment is it seemed like your inventories went up quite a bit? Is there any unwind in that next year? Or is that at levels that you would expect to be characterized as kind of normal?
Rob Wiley : I think a big reason for the growth in our inventory is just due to the, our increase in our sales. So as our sales continued to increase, I would expect our inventory levels continue to grow. And just a side note about our inventory, most of the inventory that we have on hand, virtually all of it is either raw materials or work in process. So we're not holding a lot of finished goods on hand today.
Rob Goodmanson: And one other little side note on the increase of the inventory, is the inventory is also the issue, we have this that supply chain. The issue we have had up until this point is shipping. We currently have one dock for shipping and receiving or moving into a facility in just over two weeks that as well. It makes it a little bit easier. So, weakness cannot get some of the stuff off the docks and tie. We had multiple doors, a larger facility, you wouldn't have had to ask that question. 
Rob Wiley : I just got back from our new facility this morning, and so almost impossible to even walk in that building is cramped as it is. And I'm just amazed that we've done what we've done this last quarter to get product out the door.
Rob Jost : Well, that kind of dovetails into my other question, which is when you think about being at run rate at the new facility, do you have a target margin that you're shooting for? Have you talked about that?
Rob Wiley : On our loaded ammunition product, I think we've always had the goal of maintaining a margin of higher than 30%. So I think, until we get there, we're going to do all we can to make that up. 
Operator: Our next question is from JD Abouchar with Glass Creek Partners.
JD Abouchar: A question I had on the e-commerce side. With the just the sheer size of GunBroker. I think last time I looked at on online statistics was like 16 million unique users and ranked twice as high as Bass Pro in terms of website rank. The industry is shifting to direct-to-consumer, so it's giving all brands balancing act between not wanting to tick off their traditional channel. But obviously, wanting to take advantage of online with the sheer volume going through GunBroker.com. What are some of the opportunities to capitalize obviously on the increased take rate, but also both firearm and non-firearm sales and really just build that platform up?
Fred Wagenhals: And that's one of the things that we mentioned in the call. Thanks JD. This is Rob, by the way. We had -- obviously we are adding to the cart, putting that together with the financial products. But really how to attract more buyers and sellers is really through adding more of the Amazon-like storefronts dealers. I mean, the key here is all these people need distribution of their product, and they do want to get it out. And sometimes they -- some don't have. All they have is bricks-and-mortar. They need different things. And you can just, you can look at a number of the different marketplaces out there that are very successful because they do this. We happen to be unique in our marketplace and because of that and with the 7 million plus users and the new users joining, I mean, these users are shy sellers and buyers. So this is how we can monetize all the interesting information and systems that we are currently putting in place, to make GunBroker.com truly a huge growth engine.
JD Abouchar: And just a follow-up question on that. Fred's background is premier marketer in drawing people in. what are you -- it seems like right now, you are not spending much at all in marketing or SEO, or are there opportunities there to sort of drive at the appropriate time a branding initiative, drive more people to the website by strategically doing some marketing or is the strength of the website so strong, that's really not necessary?
Fred Wagenhals: You'll see some marketing this year. We are working on it right now. But up until now, we have focused on building this plant, building our buying equipment. And now it's time to really fire up the marketing opportunities.
Rob Wiley: Correct. And with increasing the technology and the availability and ease of access to give the users a better experience, it's all going to be tied into one. And I think you will see the marketing, like Fred said beginning this year.
Operator: Thank you. Our next question is from Andy Johnson with Royal Capital.
Andy Johnson: Good afternoon, guys. With one day left in the current quarter, can you give a somewhat narrow range on what the revenue will be?
Fred Wagenhals: No.
Andy Johnson: Okay. Can you -- last fall, you said you were going to, you authorized funds for purchasing shares. Can you make any comments to whether you have done that or not?
Fred Wagenhals: We can make comment. We have not. We have taken our cash and this year has been full of unique opportunities which is something we look at on a daily basis to deploy that capital. And because we deployed it, I believe profitably and correctly, you're seeing the results of that cash deployment. When when it is a better time to start acquiring the stock from the open market, you'll see it and it will be announced. 
Andy Johnson: Got it. How does, when you donate a million rounds of ammunition to Ukraine, how does that -- how is that accounted for on Ammo’s books? 
Rob Wiley: This is Rob Wiley. Thank you for the question. Yes, this is -- that's an expense on our books. It would show up in operating expenses. 
Andy Johnson: And my assumption is that you had to have, or already did jump through the government hoops just to be qualified, to give it away. And assuming that that's correct, and you've already mentioned that I was unaware that your competitors have also made contributions, but with the United States kicking an extra 40 billion that way, do you expect to get paying orders from Ukraine? 
Rob Wiley : That wasn't the reason for the donation. 
Andy Johnson: I didn't say it was donation. 
Rob Wiley : The reason for the donation wasn't because we knew that the administration would kick in $40 billion three months later, it was what they needed at the time. 
Andy Johnson: I understand. But now that they have kicked in $40 billion, do you expect to get orders from Ukraine? 
Rob Wiley : It's possible. Yes, it is possible, but it wasn't an expectation. 
Andy Johnson: And it hasn't happened yet. 
Rob Wiley : No, it hasn't. 
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to management for any closing comments. 
Reed Anderson: Well, I'd like to thank you all for listening today. If you have any other questions, please feel free to reach out to us. If you'd like to talk offline, we'll be happy to take your call. And again, thank you for your time --
Fred Wagenhals: And your support. Have a good day. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.